Operator: Good day, ladies and gentlemen, and welcome to the Umicore Q3 2016 Update conference call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Filip Platteeuw, CFO. Please go ahead sir.
Filip Platteeuw : Thank you, and good morning, everyone. It’s a pleasure for me to welcome you indeed to today's call where we'll update you on how revenues have progressed in the third quarter. Now in terms of overall evolution, Group revenues were up by 7% in the third quarter compared to the same period in 2015. This reflected strong revenue growth in all of the business groups, and especially those businesses that are the key strategic growth focus for Umicore in the coming years. In that context, all of the extensive growth projects that we have underway in Catalysis, Energy & Surface Technologies and Recycling are on track. One specific comment regarding the Hoboken expansion is necessary here. We have brought forward the shutdown that was planned for early 2017 into December of this year. The reason for this is that we needed to advance work on the refractory lining of the smelter, allowing us in turn to combine the implementation of some process improvements as we complete investments in certain auxiliary equipment at the end of this year. Now this will mean that the overall treated volumes for 2016 will be somewhat lower than anticipated but with no change to the overall ramp up expectation. If we look now at the outlook, we have by and large seen the business evolve in line with our expectations back at the end of July. The only difference we see is that bringing forward of the Hoboken smelter shutdown into December. Despite this, we still expect full-year recurring EBIT to be within the previously guided range of €345 billion to €365 million. Let me now walk you briefly through the revenue evolution of each of the business groups, starting with Catalysis, where revenues were up by 10%. Revenues for Automotive Catalysts were well up year-on-year benefiting from strong demand for our catalysts for both light and heavy-duty applications. The global light-duty vehicle market showed substantial growth of 5% year-on-year, supported by a strong product and regional mix, Umicore's revenues grew faster than the market. Both in Europe and in China, we strongly outperformed the markets in volumes as well as in revenues. In Europe, the markets saw diesel losing some ground to gasoline. Demand for our gasoline catalysts was strong, particularly for direct injection gasoline engines. In China, we continue to benefit from a strong exposure to global car manufacturers. Conversely in North America, Umicore grew less than the market due to lower exposure to Asian OEMs. In terms of major investments, the construction of the new plant in Thailand has been completed, and the facility will start delivering products in the first quarter of 2017. Turning now to Energy & Surface Technologies. Revenues in this segment were up by 8%. The main factor in the increase continued to be Rechargeable Battery Materials. They demand for hybrid and electrified vehicles continues to gain significant traction, and this is driving the sales of NMC cathode materials. We are now operating flat out to cater for customer orders. And as you know, we announced a major capacity expansion project earlier this year that aims to triple production by the end of 2018, with part of the additional capacity starting to come on stream at the end of 2017, which should enable us to keep pace with this surging customer demand. The ongoing smaller capacity expansion in China will be commissioned before the end of this year. Shipments of Umicore’s high energy LCO, lithium cobaltite cathode materials for the high-end portable devices continued to be solid. Revenues for Cobalt & Specialty Materials increased year-on-year. In the refining activity, the impact of lower nickel and cobalt prices was more than offset by a volume growth, while in ceramics & chemicals we benefited from a greater contribution from distribution activities, both in Europe and in U.S. Revenues for Electroplating were well up year-on-year reflecting higher sales volumes across product groups, and particularly for decorative applications. Revenues for Electro-Optic Materials was down year-on-year primarily due to a reduced contribution from the recycling and refining activity. And finally, Thin Film Products recorded lower revenues year-on-year as a result of competitive pressure in the large area coating activity. Passing on to Recycling now where we have revenues that were up 7%. Revenues for Precious Metals Refining were up year-on-year and this reflected higher processed volumes resulting from the improved throughput of the Hoboken plant, and I will come back to this in a moment. Metal prices had no material impact on revenues. Higher prices for gold, silver and some PGMs were entirely offset by lower demands and prices for certain specialty metals. The supply environment remains robust and we took in large quantities of complex residues from the nonferrous refining and mining industries. As I mentioned at the outset, the smelter in Hoboken will be shutdown for maintenance in December. This is somewhat earlier than originally planned and will impact process volumes for 2016. The shutdown will however facilitate commissioning of the new investments and we expect the overall ramp up of the new capacity to be in line with the plan. Looking at the other business units, Jewellery & Industrial Metals recorded higher revenues year-on-year, driven by a stronger contribution from the recycling activity. Revenues for Platinum Engineered Materials were also up year-on-year driven by higher order levels for glass applications, while the contribution from Precious Metals Management was stable. Revenues for Technical Materials were slightly up year-on-year, although market conditions remain challenging. And looking now at corporate and discontinued activities. While the contribution from Element Six Abrasives was higher in the quarter on the back of a cautious improvement in demand from the oil and gas market, its full-year contribution remained significantly below that of last year. Revenues from discontinued activities were down in both Zinc Chemicals and Building Products. Cash flow-wise is it is worth mentioning that the €69 million fine imposed by the French Competition Authority was paid beginning of October. So wrapping up the key takeaways from the quarter. Solid growth across all three business groups resulted in a 7% year-on-year revenue increase. Market developments and the activities that are at the center of our 2020 growth ambition stay positive. And in this context, our growth investments are all on track to deliver increased volumes and scale effects in the coming years. In terms of our full-year outlook, we still see recurring EBIT for 2016 coming in the range that we provided back in July of between €345 million and €365 million, despite average precious metal prices being lower than in July, and despite the fact that we are bringing the maintenance shutdown in Hoboken forward somewhat into the last month of 2016. And with that, I would like to turn the call over to you for questions which Marc and I will be happy to take.
Operator: Thank you. [Operator Instructions]. And we will take an opening question from Mutlu Gundogan of ABN Amro. Please go ahead. Your line is open.
Mutlu Gundogan: Yes, good morning, everyone. If it's okay, I'd like to ask my questions one by one. The first question is on recycling. I assume that your volume growth is in line with the 7% revenue growth that you show. Can you explain to me why you did not have more volume growth, because what we know is that you had an extended shutdown last year which alone should lead to double-digit volume growth this year, and on top of that, you have benefited from the two shutdowns since then, so what am I missing?
Marc Grynberg: Hello, Mutlu, this is Marc. I think it's fine if you raise your questions one by one but I would like to give everyone the opportunity to raise questions, so I would ask you after I’ve answered that first question to place your name back in the queue, so that we can allow other people to raise their questions too. The volume increase was pretty much in line with, I would say, a normal ramp up scenario for this type of facility. And I think you need to realize that 1 percentage point is equal to thousands of tons of materials to be processed. So we are not talking about P necessary here. So a 7% increase – you’re not missing anything. We just have a different reading, 7% of increase of processing volumes is quite an achievement over a quarter. It's pretty big impact. And again, this is very much in line with ramp up, the normal ramp up scenario for this type of facility. And indeed the revenue and the volume increases were pretty much in line, which means that the mix has been fairly stable indeed.
Mutlu Gundogan: I will definitely ask my questions then later, but just what am I missing because if you – I mean, historically your normal shutdown would be three to four weeks. If you have an extended shutdown it pretty much means more than a month. So mathematically isn't that just month of extra volumes that you had this quarter alone?
Marc Grynberg: No, because the timing of the shutdowns is not necessarily as you say and it's not necessarily in one distinct quarter. It can be also sometimes on a straddle between two quarters. So I think it's not about mathematics, it's about ramp up here of an industrial facility. And again, the volume increase is pretty much in line with the ramp up scenario, a realistic ramp up scenario for this type of industrial operation.
Mutlu Gundogan: Okay. I'm not sure if I completely understand but I'll get in touch up with IR later on that and leave the questions to someone else.
Marc Grynberg: Okay.
Operator: We will take our next question from Wim Hoste of KBC Securities. Please go ahead. Your line is open.
Wim Hoste: Yes, good morning. I have also on recycling two questions. Firstly, can you confirm that there was no additional hedging undertaken in the course of the past few months? I did not find anything in the press release, and I assume with a slight pressure of prices that we've seen since Q2 results with or H1 results with that no additional hedges was taken, so if you can please confirm that? And then secondly, can you now highlight what's in your plan. What will the maintenance schedule be for 2017? My previous understanding was that there would be two shutdowns, with one now brought forward, is then the plan to do one shutdown in H2 2017? Can you confirm that please? Thank you.
Filip Platteeuw : Yes. So Wim, on the hedging I can confirm no additional hedging since we talked last time.
Marc Grynberg: And in terms of maintenance schedule, yes, it is a fair assumption to make that we will have one shutdown next year sometime in the second half indeed.
Wim Hoste: Okay. Thank you very much.
Operator: We will take our next question from Stephanie Bothwell of Bank of America Merrill Lynch. Please go ahead. Your line is open.
Stephanie Bothwell: Thanks. Good morning, everyone. My question was actually on Catalysis. I'm just trying to understand the very strong plus 10% top line growth that you had during the quarter. This is a quarter when we would have expected some of the impact of your 6d’s [ph] rolled off and you also flag in the release the decline of diesel market share. So therefore I'm trying to understand is that 10% top line growth being driven primarily from China and the relatively easy comps that you had there during the quarter, or is there something else there that I’m missing as to why it was quite that strong? Thanks.
Marc Grynberg: Hi, Stephanie. Indeed the spectacular growth in the third quarter is indeed to a large extent due to a very strong performance in China, and it's not because we have easy comps because actually we have outperformed the markets as you may have gathered from the comments in the press release. So the market in China has done extremely well compared to, I would say, a relatively weak third quarter in 2016 and we have outperformed that market, and that has indeed supported our overall performance, plus as we also mentioned in press release, our performance in Europe has been also extremely good despite the fact that diesel has indeed lost a little bit of market share against gasoline engine.
Stephanie Bothwell: Thank you.
Operator: We will take our next question from Adam Collins of Liberum. Please go ahead. Your line is open.
Adam Collins: Yes, good morning, everybody. I had a couple of questions too. Firstly, when will the Zinc Chemicals divestment close? And then the second one was really just point of information. During the quarter, you announced a three-year consolidation program for the European production facilities in Catalysis involving Germany, Poland and Sweden. I wonder if you could just talk a little bit more about what the plan is there, what that might mean for restructuring costs near-term and what do you think are the operational benefits of doing that?
Filip Platteeuw : Adam, I will take the first question. So the Zinc Chemicals process, the divestment process is still – basically still ongoing. So we signed in June, and we are now working towards closing, so nothing to mention today.
Adam Collins: Okay. The guidance for the year, is that predicated on a year-end close?
Filip Platteeuw : What we've said is that the guidance indeed includes a full contribution of Zinc Chemicals, yes.
Adam Collins: Okay, thanks.
Marc Grynberg: Yes. And let me, Adam, take the other question. And I'm sorry for the broken voice. I'll do my best to get to the end of a response. The idea is indeed to consolidate or AC production assets and footprint in Europe while at the same time accommodating the growth that we see in the Europe market, especially the growth that was at the end of decade as the market will 6c and then Euro 6d emission norms that will be more stringent both for diesel and for gasoline engines and will require new solutions. The plan will entail the closure of one of our sites in Rheinfelden in Germany with them additional capacities are being installed both, Bad Säckingen, which is a neighboring into Rheinfelden and more other more recent site with the more modern capabilities on one hand, and on the other hand engines come also into cater with – to cater for future demand towards the end of the decade. You may therefore expect a restructuring – sorry, you may therefore expect a restructuring chart to be focused at some point in time. That will depend on the [Technical Difficulty] regarding the closure of the Rheinfelden and [Technical Difficulty] there. I would say it entails me that it will be either still before end of this year or sometime around next year. But again that is subject to the application process that you typically have sort of comes down. And once that the plant will be fully in place then there will be some one side additions that’s coming from, I would say, a better absorption of our fixed cost base on one side because [Technical Difficulty] the reduction of the number of offsite. And the secondly the order of demand [ph] is growth, so you should expect indeed significant growth that come towards the end of the decade as the new emission norms kick in.
Adam Collins: Okay. Thank you, Marc. Wish you better.
Operator: We will take our next question from Andrew Benson of Citi London. Please go ahead. Your line is open.
Andrew Benson: Yes, thanks very much. And, Marc, I just – I couldn't really hear you very well on the last question. I know you're perhaps struggling a little bit, but anything you can do to help, that would be great. You talk about the shift to diesel in Europe but the growth elsewhere. Can you just give us some guidance on the value of the direct injection gasoline catalysts versus sort of traditional gasoline engines, and just where you think you are in terms of market share in this new area? You talked about lower oil pricing for metals during the quarter which is why you haven't hedged any more. Can you try and – I assume want to dimensionalize the adverse impact of that relative to the expectations, and normally when metal prices come off a bit, the companies sort of withhold material from being recycled. So I was wondering how your very strong performance sort of sat with that sort of general market trend that you tend to gain withdrawal of volumes in periods of decline. So it seems like you are doing a pretty well there. So if you could explain that, that would be great. Thank you very much.
Marc Grynberg: Yes, Andrew. So let me start with the direct injection engines, and what I would say at this stage that the value uplift from these engines from a catalyst value point of view I mean, will actually come when the gasoline particulate filters will start to be fitted on those engines and that will start to a limited extent next year and will expand in the following years. And once that would be the case, I would say that a direct injection gasoline engine will be – will have more value than the current engines but will not be as high as the fully fledged Euro 6 diesel system. And so there would still be quite a distance in that respect, so the mix is not neutral in a way. What remains with the comments on the metal prices is that metal prices, precious metal prices, actually dipped somewhat again after the announcement that – the results announcement that we made in July, at the end of July. And so overall the metal prices that we've had for, let's say, two-thirds of the third quarter have been somewhat less favorable than those prevailing when we guided the market to the range that we indicated back at the end of July. And then finally to your last point, we have not observed any particular holding attitude driven by the low metal prices and that’s probably because the low metal prices has been prevailing for quite a while now and probably a bit too long for people to keep holding on materials. So that has not been a very significant factor. We've not observed that and we – normally that's been a very significant factor in terms of the supply picture, and indeed I would say also that our performance has been pretty strong in that respect.
Andrew Benson: Appropriately perhaps [ph] if I just a quick supplementary one. Given the two negative factors of the earlier shutdown, I know that's just a phasing issue and the slightly lower metal prices, so what are the – is it really the volumes that are the major offset positive factor that allows you to reiterate unchanged guidance?
Marc Grynberg: Yes, actually let me maybe bring some clarification there. You’re right, there are two negatives compared to when we talked at the end of July or early August about the forecast. One is metal prices are a bit lower indeed, and secondly the fact that the shutdown is being brought forward to December is another negative factor. And this is –because of these two factors, we should expect now the recurring EBIT to be rather in the lower half of the range that we guided to a few months ago. This being said, these effects are being partly offset by the stronger-than-expected performance in Catalysis and in Energy & Surface Technologies. So if I had to put it in other words, had we not had the rescheduled maintenance shutdown and the lower metal prices, we would have probably had a qualitative upgrade to the guidance by now.
Andrew Benson: That’s great. Thank you very much.
Operator: We will take our next question from Geoff Haire of UBS. Please go ahead. Your line is open.
Geoff Haire: Sorry, my questions have been answered. Thank you.
Operator: We will now move on to Charlie Webb of Morgan Stanley. Please go ahead. Your line is open.
Charlie Webb: Hi, guys. Just one quick question for me. I was expecting, I guess, Q3 for specialty metals to kind of trough, given your commentary suggests maybe we've seen further deterioration in that market. Do you think we are now getting close to trough or do you think there is still further downgrades there?
Marc Grynberg: Yes, Charlie. I mean, as you know, specialty metals our always difficult to read but what the levels that we have today – and again the basket of metals [ph] seems in need to be stabilizing but at a low level.
Charlie Webb: Okay. Thank you.
Marc Grynberg: And what is also important is to so far you’ve seen that we mentioned it in the voiceover that it’s always a combination of demand and prices, so these go hand-in-hand and we've seen lower demand for these metals, so stabilized metal prices and lower demand.
Charlie Webb: Okay. Thank you very much.
Operator: [Operator Instructions]. We will take our next question from Philip Scholte of Kempen. Please go ahead. Your line is open.
Philip Scholte: Yes, good morning. It’s Philip Scholte. I have a question on your battery materials side. In your prepared remarks, you say you are delivering flat out. Does that mean you are at full capacity actually right now and can you maybe shed some light on your views and where that capacity is, and do you think that anytime in the next coming quarters you will – while you're limited by capacity or do you think your current plans to expand in China are enough to keep this growth rate ongoing?
Marc Grynberg: Philip, we've been operating at full capacity for a while now and we still are, and that will continue to be the case also with the new capacity that will shortly come on stream. So we expect to be at full capacity for the foreseeable future, yes.
Philip Scholte: Right, but does that mean that that growth will slow down, or are you raising prices more aggressively?
Marc Grynberg: Well, we are tripling capacity over two years time, so I wouldn't call that – I wouldn't dare to call that this slow down the growth. It's rather a very significant acceleration and we are adding capacity as quickly as we can to cater for the sharp increase in demand.
Philip Scholte: All right, thanks.
Operator: [Operator Instructions]. We would take a follow-on question from Mutlu Gundogan of ABN Amro. Please go ahead. Your line is open.
Mutlu Gundogan: Yes, thanks. Returning to recycling and also on the specialty metals, when you talk about lower demand for specialty metals, I mean, how does that impact your business besides the price impact because the volumes are given, isn't it, so how does lower demand fit or impact your business besides the price effect? And then secondly, on recycling as well. Should we expect the lower REBIT this year then, is that what you're confirming? And then maybe to add to this a small question. Can you talk about your capacity increase in 2017 given the shutdowns that we see this year?
Marc Grynberg: Mutlu, I'm not sure what you meant by the volumes are given for specialty metals. Can you help me with that?
Mutlu Gundogan: So your supplies provide you with a certain volume of feed, so to say, which contains various metals. So if they also contain specialty metals, you will take them out one way or the other, so then you have to sell them all, isn't it? So if the demand is low, you will sell it at a lower price. That is at least my understanding. But please correct me, if I'm wrong.
Marc Grynberg: Yes, it's wrong indeed because there is no terminal market for those metals. So if there is no demand, there is no sale. So that's – it's not like a traded metal that you can sell to any counterparty through an exchange here if you don't have a customer, a typical customer that requires the metal for further posting or transformation. You don't have sales, you don't have the revenues. So the volumes are not given and that's why we mentioned that it's not just a matter of prices to demand, it's also being very low risk.
Mutlu Gundogan: Can you explain to me what you then do with those metals once you have recycled them?
Marc Grynberg: Well, we keep them as long as – and we wait for the demand to be there. It's fairly erratic pattern and has always been because these specialty metals tend to have a limited number of possible applications indeed, yes.
Mutlu Gundogan: Okay.
Marc Grynberg: And sorry, Mutlu, can you repeat the other part of your question?
Mutlu Gundogan: Yes, so just wondering – the statements that you gave in terms of the shutdown and the lower prices, could you confirm that you then expect a lower REBIT for the recycling business in 2016? That was the second part. And if you will, the third part, can you shed some light on the capacity increase that we should expect for 2017?
Marc Grynberg: In terms of REBIT forecast, sufficed to say that we expect our REBIT, or recurring-EBIT, to be in the lower half of the range that we have provided for the group and we are not providing the details of business group in terms of forecast. And the capacity increase. The capacity utilization increase will be fairly significant next year indeed as we continue to ramp up the volume and that we have a number of investment project that are coming to completion towards the end of the year and that will remove a few remaining bottlenecks in the auxiliary equipment. So the process volumes will be higher and well higher in 2017 compared to this year.
Mutlu Gundogan: Just looking back at the Capital Markets Day and in the slide you presented on the capacity increase sort of ramp up in volumes, does it simply mean that the ’16 volumes are shifting to ’17. Is that how we should think about it?
Marc Grynberg: By definition if the one of the shutdowns is bought forward from the ‘17 to ’16, you will have some volume shifting indeed from ‘16 to ’17, yes.
Mutlu Gundogan: Now because I want to make sure that not the ‘17 volume shift again to ’18 because in all honestly if you look at the announcement in 2013 with the capacity expansion program, it has taken longer it seems than plans. Isn't it?
Marc Grynberg: No, I don't think so, because we've always indicated that it takes two years to engineer and two years to build and two years to ramp up. So I don't think we have deviated from that view in any material manner.
Mutlu Gundogan: Okay. Thank you.
Operator: We will take our next question from Adam Collins of Liberum. Please go ahead. Your line is open.
Adam Collins: Yes, hi. I had two follow-ups on RBM. Recently you put out some information on the ITC patent case timings. You talked about on November 17 for the preliminary hearing with the final determination expected in mid-December. Just wondered if that's still the time table? And then looking to some comments from you about the high profile Galaxy Notes explosions and termination of the program. Has that had any direct impact on your business, and what do you think are the broader implications for your business in the medium term? I’d be interested in any comments you had around that.
Marc Grynberg: So first of all, the schedule for the ITC hearing and determination is indeed November 17 for the hearing and mid-December probably for the determination. So that's still the view now as we speak. Regarding the Galaxy Note debacle I would say, or battery debacle I would say, that we don't see a major impact on our business and – because anyways we are running flat out and so we're not – we don't have so much flexibility. We would not have so much flexibility to cater for much more demand one way or another. And I think it's – as far as we see it now, it's not, I would say, casting a doubt on the development of the lithium-ion battery industry, nor for portable electronic users, nor for – neither for portable electronic users nor for automotive applications. So we don't see that slowing down in any manner the development that we have been talking about in recent times. Lithium-ion battery makers now know how to make these systems safe enough. I don't know exactly what the reasons are for the Galaxy 7 failure, but I think it’s fair to say that battery makers now know how to make safe batteries for every type of application. So we don't see an impact in other words.
Adam Collins: Okay, great. Thank you.
Operator: And we’ll take a follow-on question from Mutlu Gundogan of ABN Amro. Please go ahead. Your line is open.
Mutlu Gundogan: Yes, two more questions. First on batteries. Can you talk about how would you – you say the smaller capacity expansion programs in China, what kind of volume growth should we expect from that? I know you don’t want to give a lot of details but could you give us at least an indication of what – let's say, what a range is. Should we expect limited volume growth? Any color on that would be appreciated. And then secondly, I might have missed this, but did you talk about the share of diesel today versus last year, where do we stand?
Marc Grynberg: Yes, let me start with diesel. So diesel – in the third quarter, the share of diesel in the European market was a little bit lower on a quarter-to-quarter basis. On a year-to-date basis, it’s almost the same as a year-ago because the performance in the first half of the year was relatively stable. And in terms of battery expansion, it's relatively small expansion that we will have by the end of this year, so the volume increase in the first part of next year will not be spectacular and there will be more capacity coming on stream in the second part of next year towards the end of 2017 as part of the capacity tripling program. So overall for the full-year of 2017, it will be non-negligible expansion of our volumes, but I would say a bit back-loaded because of the timing of the projects coming on stream.
Mutlu Gundogan: Right. And the tripling for ’17, I mean, towards the end of ’17. So we should still expect a benefit of that in the second half, it's not that the capacity comes online, let's say, in December and it starts to benefit 2018.
Marc Grynberg: Part of that will indeed be visible in the second part of 2017, and of course it will be more significantly visible in ’18, and of course in ‘19 you will have the full triple capacity available.
Mutlu Gundogan: Okay understood. And then maybe one more final follow-on on recycling. When you just recently spoke about the capacity increase in ‘17, if we just forget let's say all the rest but just simply talk volumes, the process volumes. What is the expectation for ’17, because before you said flattish?
Marc Grynberg: Sorry, what did you say about flattish?
Mutlu Gundogan: So yes, so before the guidance was that you would have two shutdowns in ‘17 i.e., hardly or flattish or limited volume growth, that was the wording. So with today's information, what would you guide for?
Marc Grynberg: As I mentioned earlier when you raised the question, a quite visible increase in the process volumes and some of the ‘16 volumes are shifting to ‘17 because of the fact that that we're rescheduling the maintenance shutdowns.
Mutlu Gundogan: Okay. All right, thank you.
Operator: We have no further questions in the queue at this time.
Marc Grynberg : Okay. So then I would like to now close the call and thank you for attending our Q3 update. And as usual – and I would like also to thank Filip for the presentation. And if you have follow-on questions, please feel free to reach out to our Investor Relations team. Thank you, and talk to you soon. Bye-bye.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.